Operator: Good morning and thank you for standing by for Xunlei's Second Quarter of 2018 Earnings Conference Call. At this time, all participants are in listen-only mode. After management's presentation, there will be a question-and-answer session. Today's conference call is being recorded. I would now like to turn the call over to your host for today, Charlene Lu, IR Manager of Xunlei. Thank you. Please go ahead.
Charlene Lu: Thank you. Good morning and good evening. Welcome to Xunlei's second quarter of 2018's earnings call. I'm Charlene Lu, Investor Relations Manager at Xunlei. With me today on the call are Mr. Lei Chen, our CEO and Mr. Eric Zhou our CFO. Today's conference call is being recorded and a replay of the call will be available on our IR website following the call. Our earnings press release was distributed earlier today and now is also available on our website. Before we get started, please note that the discussion today will contain certain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to the risks and uncertainties that may cause actual results to differ materially from our current expectations. Please refer to our SEC filings for a more detailed description of the risk factors that may affect our results. We do not assume any obligations to update any forward-looking statements, except as required under applicable laws. During this call, we will refer to both GAAP and non-GAAP financial measures, and the non-GAAP measures are reconciled to the comparable GAAP measures in the table attached to our earnings press release, which can also be found on our website. Please note that all numbers are in US dollars unless otherwise stated. I will now turn the call over to our CEO, Mr. Lei Chen.
Lei Chen: Good morning and good evening everyone. Thank you all for joining our second quarter of 2018 earnings conference call today. I am pleased to report another quarter of progress and achievements. It will be the quarterly guidance and achieved US$65.8 million in revenue in the second quarter of 2018. And this was a growth of 70.7% on a year-over-year basis. The better than expected growth in revenue was primarily driven by increasing demands for our cloud computing, live streaming and the mobile advertising products. Today, I will start with how our shared computing is enabling as to advance the mission of empowering individuals through technological innovation. Then I’ll talk about our growing blockchain ecosystem and how it will shape the future of our cloud computing business in new ways. And finally, I will share with you some updates on our major business segments. Let’s begin with how our shared computing is helping realize our mission. As we highlighted last quarter, in as early as 2015, we initiated shared cloud computing solutions as we saw significant growth opportunities with the emergence of Internet of Things, AR, AI and Big Data. We transform the users' idle bandwidth and storage to offer cloud computing services to our enterprise customers. With our shared computing model, we help our customers to reduce costs and improve performance. Lately, we have seen the trend of similar and relevant technologies such as Edge Computing and Serverless PaaS sprouting out from different technology thinkers and evangelists. We believe this trend will continue for a couple of reasons. First, IoT becomes more important and starts to fundamentally change the way we live and conduct business. This leads to a variety of applications where such technologies provide better solutions. And secondly, the demand for bandwidth, storage and computing power grows rapidly while the cost of CPU flash and other computing units reduces at a much slower pace. We even saw a reverse price trend in some of these units. A solution that can fundamentally reduce cost will become more and more desirable in the market. That's also why we keep operating our technology and have recently expanded our cloud service to IaaS domain through the company’s new cloud platforms StellarCloud. StellarCloud offers edge computing, function computing and shared CDN solutions to the companies in their transition to cloud, including content delivery, live streaming, data storage and artificial intelligence. Since the launch in May, we have been growing our client base on StellarCloud and deepening the partnerships with existing and new clients such as iQIYI Funshion [indiscernible], Quanmin TV, Yidianzixun et cetera. So why would personal users be willing to share their idle resources? Blockchain technology is the critical part. It solves the problem of trust any standards between users and companies. Furthermore, we believe blockchain will allow new opportunities for not only shared computing but also every industry. And we’re committed in helping communities and people benefit from this technology. We have accelerated our efforts on blockchain in the past few months. For example, we launched a high propounded blockchain platform, ThunderChain Open Platform and ThunderChain File System. With the technology to perform over 1 million transactions per second, ThunderChain helps application developers and entrepreneurs to create large scale practical blockchain applications in different sectors. The ThunderChain File System enables developers and enterprises to build decentralized applications with the distributed data storage and integration for blockchain platforms. We also concluded Xunlei Blockchain Applications Global Challenge in early July. We are very pleased to see a large number of participants from China and overseas, came together and develop the blockchain applications across multiple sectors, including public welfare, healthcare, education, gaming, software network, transportation and the copyright protection. Notably, over the past few months, our blockchain and shared computing solutions were recognized by a number of authorities and institutions in China. For example, in May, our cloud computing business was affirmed in the white paper issued by China’s MIIT Information Center. In this authoritative document for survey for blockchain industry, our blockchain-based hardware OneThing Cloud is excited for utilizing the idle computing resources for individuals to help enterprises reduce operating costs while protecting the environment. In July, ThunderChain was recognized as one of the Outstanding Entrepreneurship and Innovation Projects by China’s official news agency Xinhua Net. Now, let me go through the financial updates of major business segments. Our blockchain-based cloud computing business continued to be an important driver for our long-term growth. Revenues from cloud computing as well as internet value-added services amounted to US$36.5 million and enjoyed a 186.9% increase compared to the same period in 2017. Notably, OneThing Cloud achieved a solid sale results during the June 2018 festival initiated by JD.com, which is an important mid-year online promotion event. We also partnered with JD to expand into offline retail stores. We believe cloud computing and other internet value-added services will be an important industry trend, and a key driver for our long-term growth, that’s why we met heavily in this product. As for our live streaming business, we have successfully launched both video and voice live streaming products and had a significant rise in revenue. We also celebrated the first annual live streaming festival in June, and are glad to see the fruits of our growth initiatives. Our online advertising revenues grew 57.2% on a year-over-year basis, driven by strong advertising demand during the mid-year marketing on sales compliance. Moreover, I’d also like to touch on our membership subscription business. Over the years, our membership subscription business has provided us with stable cash flows to pursue growth as innovation opportunities, to support Xunlei in its transition from a traditional internet company into an innovative technology provider driven by the power of sharing economy and the potential of Blockchain technology. Recently, we unveiled a calibration of flagship downloads accelerator ThunderX, which was a desktop application to support the wide range of 4K high-definition display solutions. Since then, we have been receiving positive and constructive feedback from users, and we will continue to enhance user experience and service quality for our subscription members. Before I close, I’d like to mention that we’re developing a shared computing and blockchain-based ecosystem for the next wave of technological breakthroughs. We will continuously invest in innovation and new capabilities to drive future revenue growth and enhance long-term shareholder value. With that, I will now turn the call over to Eric to review the second quarter financial results. Eric?
Eric Zhou: Thank you, Lei. Hello everyone, and once again thank you for joining Xunlei’s second quarter of 2018 conference call. And now, I’d like to go through the details of our financial results. Our total revenues were US$65.8 million, which exceeded our high-end guidance and representing an increase of approximately 70.7% as compared with the same period last year. The increase in total revenues was mainly attributable to the growth of cloud computing, live streaming, and mobile advertising business. Revenues from cloud computing and internet value-added services were US$36.5 million, representing an increase of 186.9% on a year-over-year basis. Cloud computing revenues grew by 183.5% on a year-over-year basis. Revenues from subscriptions were US$21.1 million, representing an increase of 2.5% on a year-over-year basis. The year-over-year increase in subscription revenue was primarily attributable to increase in average revenue per subscriber. The average revenue per subscriber for the second quarter of 2018 was RMB 37, an increase from RMB 34.4, for the same period last year. The number of subscribers was 3.69 million as of June 30, 2018, decreased from 4.09 million as of June 30, 2017. The Company continues to transform from a traditional internet company to one with growth drivers coming from innovation and investments in cloud computing and a blockchain related products and services. Revenues from online advertising were US$8.2 million, representing an increase of 57.2% on a year-over-year basis, mainly due to increased demand for our mobile advertising business, during mid-year campaigns. Cost of revenues was US$30.7 million, representing 46.7% of our total revenues. The increased amount of the cost of revenues was mainly due to increased OneThing Cloud hardware costs and partially offset by reduced bandwidth costs. Bandwidth costs in the second quarter of 2018 were US$ 12.1 million, representing 18.4% of total revenues, compared with US$18.8 million or 48.8% of the total revenues in the same period last year. The decrease was mainly attributable to the cloud-sourced bandwidth capacity. The remaining cost of revenues was largely the revenue-sharing costs for our growing live streaming business. Gross profit for the second quarter of 2018 was US$34.7 million, representing a year-over-year increase of 143%. Gross margin was 82.7% in the second quarter of 2018 compared with 37% in the same period last year. Research and development expenses for the second quarter of 2018 were US$19.2 million, representing 29.2% of the total revenues compared with US$14.7 million or 38.1% of the total revenues in the same period last year. The significant decrease in the potential of research and development expenses in our total revenues was mainly due to increased total revenues, while we managed expenses. We continued investments in blockchain research and development to strengthen our competitive position and expand our products and services. Sales and marketing expenses for the second quarter of 2018 were US$9.5 million, representing 14.5% of the total revenues compared with US$4.4 million or 11.4% of our total revenues in the same period last year. The increase was mainly due to the marketing and promotion activities for our OneThing Cloud device, which was launched in the third quarter of 2017. General and administrative expenses for the second quarter of 2018 were $9.7 million, representing 14.8% of our total revenues compared with $8.2 million or 21.4% of our total revenues in the same period last year. The increase was mainly due to higher employee benefits and professional and consulting fees to support and expand our business. Operating loss was US$3.7 million in the second quarter of 2018 compared with operating loss of US$14 million in the same period last year. Net income from continuing operations was $0.7 million in the second quarter of 2018 compared with net loss of US$11.2 million in the second quarter of 2017. Non-GAAP net income from continuing operations was US$2 million in the second quarter of 2018 compared with non-GAAP net loss of US$9 million in the same period last year. Diluted earnings per ADS from continuing operations in the second quarter of 2018 was US$0.01 compared with a loss of US$0.17 in the same period last year. As of June 30, 2018, the company had cash, cash equivalents and short-term investments of US$345 million compared with US$355.6 million as of June 31 2018. The cash position dropped US$10.6 million, primarily due to an increase in accounts receivables as a result of a large amount of OneThing Cloud device sold in a mid-year shopping festival in the second half of June 2018. And finally, I would like to turn to our guidance for the third quarter of 2018. We expect total revenues to be between US$54 million and US$60 million for the third quarter of 2018. The mid-point of the range represents a year-over-year increase of about 27.2%. With that, we conclude our prepared remarks for today. And I will now turn the call over to the operator for your questions. Operator, we are now open to the questions.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] There are no further questions at this time, please continue sir.
Lei Chen: If there is no questions, should we just stop the call?
Eric Zhou: Shall we wait for few more minutes or just end the call? Operator, can you check again?
Lei Chen: If there is no questions, I think, we -- let’s just close the call then.
Eric Zhou: Okay. With that I will now turn the call over to -- I'm sorry, operator, let's just end the call. And everybody, thanks again for your attention and joining this call. Bye.
Lei Chen: Thank you. Bye-bye.
Operator: Ladies and gentlemen, that does conclude the conference for today. Thank you for participating. You may all disconnect.